Operator: Good day, and thank you for standing by. Welcome to Vista's Third Quarter 2022 Results Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Alejandro Chernacov, Vista Strategic Planning and IR. Please go ahead.
Alejandro Chernacov: Thanks. Good morning, everyone. We are happy to welcome you to Vista's Third Quarter 2022 Results Conference Call. I am here with Miguel Galuccio, Vista's Chairman and CEO; Pablo Vera Pinto, Vista's CFO; and Juan Garoby, Vista's COO.  Before we begin, I would like to draw your attention to our cautionary statement on Slide 2. Please be advised that our remarks today, including the answers to your questions, may include forward-looking statements. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from the expectations contemplated by these remarks. Our financial figures are stated in U.S. dollars and in accordance with International Financial Reporting Standards, IFRS. However, during this call, we may discuss certain non-IFRS financial measures such as adjusted EBITDA and adjusted net income. Reconciliations of these measures to the closest IFRS measure can be found in the earnings release that we issued yesterday. Please check our website for further information. Our company, Vista Energy is a sociedad anonima bursatil de capital variable organized under the laws of Mexico, registered in the Bolsa Mexicana de Valores and the New York Stock Exchange. The tickers of our common stock are VISTAA in the Bolsa Mexicana de Valores and VIST in the New York Stock Exchange. The ticker of our warrant is VTW408A.  I will now turn the call over to Miguel.
Miguel Galuccio: Thanks, Ale. Good morning everyone and welcome to this earnings call. I'm pleased to share with you our results for the third quarter of 2022, during which we have continued to deliver strong operational and financial performance. Total production averaged 50.7 BOEs per day, a 26% increase year-over-year. Oil production was up 35% year-over-year, boosted by the timing of the last 3 pads in Bajada del Palo Oeste. Total revenue in Q3 2022 were $333.6 million, a 91% increase year-over-year, driven by higher production and stronger relapsed oil prices. Lifting costs per BOE was $7.5 for the quarter, reflecting our success in containing cost pressure as well as dilution of fixed costs through incremental production volumes. Capital expenditure was $162.8 million, including the drilling of 6 wells and the completion of 3 pads during the quarter. Production growth, coupled with the strong realization prices amid flat lifting costs, boosted adjusted EBITDA to $233.7 million for the quarter, more than doubling year-over-year. During Q3 2022, we record positive free cash flow of $44.4 million, driven by robust adjusted EBITDA generation. Net leverage ratio at quarter end was 0.x adjusted EBITDA. Adjusted net income was a solid $79.4 million, implying a quarterly adjusted EPS of $0.90 per share. We will now deep dive into our main operation and our financial metrics. Total production during Q3 2022 was 50,700 BOE per day, up 26% interannually. Oil production was up 35% year-over-year, mainly driven by our flagship development in Bajada del Palo Oeste, where we tie in 2 4-well pads during the quarter and benefited from another pad put on production in [relation]. Our year-to-date average production is 46,500 BOE per day, well on track to deliver on our production guidance of more than 47,000 BOE per day for the year. Total ceroid production, including Bajada del Palo Oeste and Aguada Federal represented 77% of our total oil production during the quarter. I will now share some more details on each of these projects. In our flagship development in Bajada del Palo Oeste, wells continue to produce an average of 5% of our type curve with 55 wells tie-in to date. During Q3, we completed and tie-in pads Bajada del Palo Oeste 13 and Bajada del Palo Oeste. 14. We are currently reading the final well in Bajada del Palo Oeste 15, which we plan to tie in late in December. This will lead to 20 new wells tie-in for the year in this block. I'm very excited by the production results we are seeing in Aguada Federal. The assets were acquired a year ago and have successfully been integrated into our core development. At the end of Q2, we have completed and tie in our first 2 wells in becoming operators in this block. In [Manson], we are seeing productivity in line with Bajada del Palo Oeste. In particular, the well we landed in La Cocina delivered an IP-30 of 2,500 BOEs per day and is currently producing 20% above our Bajada del Palo Oeste-type curve after 120 days on a normalized basis. We also completed 4 well pads in Aguada Federal 3, which was tie in early this month. Finally, the tie-in connected our [federal 2] Bajada del Palo Oeste is currently operating. This is a major milestone leading to future integration of Board blocks as well as reducing lifting costs and environmental footprint. In Bajada del Palo Oeste, the 2 wells we tie-in in late February under our ongoing pilot program continue to show understanding results. After 180 days, the average production of [new] well is above our Bajada del Palo Oeste type curve on a normal basis. These initial tie-in results confirm the top quality of the western part of this block, adding up 50 wells to our inventory for the total of 900 wells, including Bajada del Palo Oeste and Aguada Federal. We are planning to drill 3 additional wells to further derisk acreage in the eastern part of this block in Q4. Also to treat the crude oil produced in this block, we have recently finalized a modular upgrade to the oil treatment plant in this cluster, leading to an increase in processing capacity from 40,000 to 47,000 barrels of oil per day. The next step is to increase this plant capacity to 63,000 barrels of oil per day during the first half of 2023. During Q3, we achieved a measure mature related to Vaca Muerta development as we started producing from our own sand mine and washing plant. The plant is located 250 kilometers from Bajada Palo Este, saving more than 1,000 kilometers of sun tracking. The plant is currently producing 50,000 tonnes of sand per month, which is roughly 50% of Vista requirements at the current drilling and completion run rate but is designed to soar 100%, which we estimate can be achieved during the first half of next year. This project is a significant contribution to our cost-saving efforts as it is forecasted to enable savings of roughly $200,000 per well and almost 2% of our total drilling and completion costs. The overall CapEx of this plan was $16 million, so we expect a payback period of less than 2 years. Total revenues in Q3 2022 were $333.6 million, a 91% increase year-over-year, driven by our production growth and substantial improvement in realized oil prices. Realized oil prices for the quarter average, $76.6 per barrel, up 34% year-over-year. The over unrealized domestic price was $54.2 per barrel, while the realized price of the export market was $90.2 per barrel on average. Crude oil volumes sold during the quarter surpassed production by approximately 2,300 barrels of oil per day, producing inventories to 0. Sales to export market accounted for 48% of oil volumes and 56% of our revenues. We exported 4 cargoes during the quarter or 1.9 million barrels of oil in total. We expect to maintain this level of export volumes during the coming quarter as well. Regarding prices, with current rent levels for Q4, we expect a total average realized oil prices were around 5% below Q3. Realized gas prices increased 7% year-over-year to $4.4 per million of BTU mainly boosted by the sales to industrial customers at $4.9 per million of BTU, applicable to 32% of our sales volumes. Plan Gas price was $4.1 per million BTU applicable to 65% of our sales volumes. The remaining volumes were exported to Chile. Total lifting cost for the quarter was $34.8 million. We have successfully implemented tactical cost-saving initiative in water-falling projects in our conventional assets, pulling services and associated materials, click line services, chemicals in all treatment plans and in the reuse of impacting materials, all that to offset cost increases driven by depreciation of the pesos in real terms. Additionally, the boost in production volumes continues to dilute fee cost. Therefore, on a sequential basis will reduce lifting costs per BOE by 4%. We reiterate our guidance of $7.5 per BOE for the full year. Adjusted EBITDA for the quarter was $233.7 million, implying an interannual growth of 127% and a sequential growth of 16%. This reflects strong revenue growth and our successful effort to maintain stable listing costs. Our year-to-date adjusted EBITDA is $563 million. So we are well positioned to surpass our $750 million guidance for the full year. Adjusted EBITDA margin was robust, 70% during the quarter, an improvement of 11 percentage points year-over-year. Netback was $50.1 per BOE, an 80% interannual increase and in line with our previous quarter. In Q3 2022, we continue to generate positive free cash flow while also reducing gross debt. Cash from operating activities was $196.1 million, impacted by advanced payments of income tax for $26 million. Cash flow used in investing activities was $151.7 million, mostly driven by $104 million in grinding and completion activities in our core development projects, Bajada del Palo Oeste and Aguada Federal. Other investments included the gathering, treatment and evacuation facilities, leading to a total CapEx of $162.8 million during the quarter on an accrual basis. Free cash flow during the quarter was a robust $44.4 million, leading to a year-to-date free cash flow of $140 million. Cash flow used in financing activities stood at $112.7 million, mainly driven by the debt repayment of $78 million, including $22.5 million of principal of our syndicated loan and $50 million of our bond Series 2. Interest paid amounted to $10.4 million. Gross debt stood at $522.6 million at the end of Q3. Our plan is to maintain the around such a level by year-end, in line with our latest guidance. Net leverage ratio stood at a very healthy 0.5x adjusted EBITDA at quarter end. During Q3 2022, we delivered a strong operational and financial performance. As our Vaca Muerta projects continue to drive production growth, we recorded 50.70 BOE per day during the quarter, a 26% increase year-over-year. Adjusted EBITDA was $233.7 million for the quarter. Adjusted net income was $79.4 million for the quarter and is currently $201 million year-to-date. Adjusted EPS was $0.90 per share for the quarter. Based on the year-to-date performance, we are reiterating our guidance for the year. We continue to make good progress in projects to reduce emissions footprint of our operation. We forecast to reduce emissions intensity to 18 kilos per BOE, a 25% reduction vis-a-vis 2021. On the A&D front, we closed the second Vaca Muerta development shaving with Trafigura, marking a record acreage evaluation for the basin, which depending on how international prices evolve should range between $59,000 and $140,000 per acreage. This agreement contributes to increase our free cash flow generation beyond the objectives laid out by our 5-year plan. Further reduced group debt, distribute capital to shareholders through share buyback or dividends and accelerated investment in Vaca Muerta, in particularly in the midteen infrastructure projects. On October 4, the warrant holders meeting approved our proposed amendment to Vista warrants in ventures providing immediate center on the number of understanding shares of the company, approximately 89.7 million shares after 100 of the warrants are exercised. This is a significant milestone to improve our capital structure, limiting the dilution of shareholder value and favoring the correct price formation of Vista shares. Finally, this morning, I have called for shareholders meeting scheduled to take place in December 7 to vote on a proposal to approve our second share buyback program for $25.6 million. This is another important step in our strategy to deliver shareholder return and partially sterilize the new understanding shares linked to the warrants exercise. I will take this opportunity to thank our investors for their continued support and our great team at Vista for their hard work, passion and commitment. And with that, operator, please open the line for Q&A.
Operator: [Operator Instructions]. The first question comes from the line of Andres Cardona with Citi.
Andres Cardona: Congratulations on the results and the recent developments. I have 2 questions. The first one has to with the 2026 production target with now over 50,000 barrels per day, how do you think about it? Does it seem to be now conservative? Or how should we think about it? The second one is, and despite -- it since early results at Aguada Federal and Bajada del Palo Oeste very encouraging. So what do you think is there was a strategy to develop these fields, like continue to derisk it on a sole basis, seek partners that [farming carrying] on the CapEx, maybe a slowdown or focus on Bajada del Palo Oeste? How do you think about the rest strategy for these two emerging assets?
Alejandro Chernacov: Hello, Andres. Thank you very much for the congratulations and the questions. Starting with your first part of your question on 2026 target and how realistic they are today. Well, we finished 2022 around 53,000, 54,000 barrels oil per day. And we are really having a very good -- a very good 2022, and we see 2023 growing at the similar rate that we've been growing so far. So as we said for you to calculate, you should assume that we will be continue growing around 15% to 20% growth in production volumes year-over-year. And your statement is right. If you do that calculation, you will find that probably at the end of -- average 2026 should be about the number that we proposed in the Investor Day that was 80,000 barrel per day. So yes, we are coming higher. And definitely, if it will continue growing the way that we grow, that I don't think why we should not do that. We will have a higher target. Related to Aguada Federal and Bajada del Palo Oeste and the operational model and business model that we used to develop. I think you have to consider that we will continue to develop ourselves. The deal that we have with Trafigura have worked pretty well. But in the -- but it's something that we will do in basically when we need to add more CapEx about what we have in our plan and it's going to be considered on an economic basis. The reality is at [apparel] is going to be integrated to Palo states already integrated by pipeline. The wells are performing excellent. We have the same result that we have Bajada del Palo Oeste. And Bajada del Palo Oeste part number 1, has proved that the east side of Bajada del Palo Oeste is pretty good, and we cannot probably [quite] a nice portion of Bajada del Palo Oeste also to our Bajada del Palo Oeste block. So all that, you have to consider that from the operations point of view, is one field for us and one operational setup. So nothing -- we are adding more acreage in making our position to 2023 very strong because the portfolio is very strong. And of course, as we develop, we will encounter more challenge, but as much accretion that we have of the quality that we have, more robust is our plan and our performance.
Operator: Our next question comes from the line of Walter Chiarvesio with Santander.
Walter Chiarvesio: Hello. Congratulations for this very strong quarter. My question comes regarding the infrastructure front in the country, how important do you see that for the long-term growth for the company. And there is some information that was released publicly in the medium mostly. But I would like to ask you and hear from you how do you see those projects evolving over time and being added by the private sector, private companies. And it [miss having] some integration in those projects, I mean, OldelVal et cetera? That's from my side.
Alejandro Chernacov: Thank you, Walter, for your question. And the answer is yes, we are participating in all of that. Our strategy is basically to actively participate in the expansion project of OldelVal, [Bajada del Palo Oeste], Vaca Muerta, Norte. And also, we are using and considering other options in order to maximize the optionality and the potential of evacuation. Starting with OldelVal. As you know, we have the main pipeline that 280,000 barrels per day currently at full capacity. Vista today is transporting around 42,000 barrels oil per day in OldelVal. And as you said and it's publicly there's an expansion project of OldelVal of 225,000 barrels oil per day that is aimed to add that capacity early 2024 or the beginning of 2025. We have a public tender for expansion that took place last week. We participate on it. One of the results that we saw is that there is a clear aim of a clear ambition of most of the participants to increase production above what the market was expecting. And now OldelVal is analyzing those bid and basically consider how to allocate that capacity and probably even look at the option to offer even a larger expansion of more capacity. So we remain super confident in that allocation. Meanwhile, something that we are doing as well is trucking. So part of our relationship with Trafigura, we have set up a way of trucking around 5,000 barrel oil per day. We are using around 25 trucks. So it's not a big common of truck. Of course, this is costly. But taking in consideration the netback that we are having is super profitable for us to use that option. There's additional optionality that we are looking at, and we are working on. One is basically something that we call the reversal of [LaCocina]. This is using the existing facilities and in term of sending through OldelVal to Bahia Blanca, rerouting [Indiscernible]. And also, we are looking with a consortium, an option to export to Chile. So we are super active on evacuation. I think as an industry, we are a bit behind. Nevertheless, we don't see that compromising our current plans towards 2026. We will have optionality. We are building optionality and yes, and we will deliver the numbers that we promised.
Operator: Our next question comes from the line of Regis Cardoso with Creadit Suisse.
Regis Cardoso: Congratulations Miguel and Alejandro on the excellent results. Two topics I would like to discuss with you. One is that balance between CapEx, so reinvestment and shareholder remuneration. And maybe bring to that discussion the pace or the level of your exports. So are you expected to continue increasing your share of exports and therefore, generate more of your revenue linked to international prices? Would that be a driver for -- to have higher cash from operations on the same production, let's say. And if you do have more cash from operations there, do you redirect it to CapEx? Or do you plan to do more of shareholder remuneration, either buybacks or dividends? Likewise, I mean -- and we discussed this in previous questions is as you reinvest and you will continue growing production, what are your next hurdles in terms of logistics as well as your pace of tie-ins? Do you -- are you required at any point to, let's say, locate more of your capital to lower return assets like midstream. So it's more of a discussion than a specific question, but overall, do you expect to generate more cash? How do you redirect it between investments and shareholder remuneration, in particular, touching on those points of share of exports and pace of additional wells and requirements in midstream?
Miguel Galuccio: Thank you very much for your question. So look at related to the exports that is probably the most straightforward one, every single barrel that we had goes to export. If you remember in our Investor Day, we said that -- I mean, we calculate that we will have probably a mix of 60% of [fporan], 40% in the local market. considering the volume that we have calculated at that time that there was an average of 80,000 barrel oil per day of production arriving in 2026. So that 60-40 today, if we have more production, it could be higher than 50%. That's the reality. Today, any additional barrel seen we have the local market as the industry fully supplied. It goes to airport. And if you follow the export market as the percentage bit under rest, you see the incremental in the industry mine-by-month, quarter-by-quarter, how we are adding more cargoes and adding more exportation quarter-by-quarter. In terms of cash flow, yes, of course, we will have more production. We have better prices than the one that we calculate when we have the Investor Day toward 2026, that was 60. Therefore, -- and there, I think we signal that on that plan, cash flow generation towards 2026 of around $2.5 billion if you remember correctly. Therefore, I think we will have additional cash. Now today, the cash that we are generating, we are taking care, of course, of the CapEx. We have a rate of growth that we want to meet and also it's in line with infrastructure that we have that is around 15%, 20% in terms of production. And the rest, we are using it for buyback programs. Of course, we are at the moment that we have to front-end infrastructure to meet that plan. So there will be CapEx that is going to be in the first 2 years, dedicated not only to West, but now we will have an infrastructure component. The main case is the expansion of OldelVal. After that, 2024, 2025, 2026, we will have to have -- we will aim to continue probably reducing debt, using buyback or dividends or whatever is the best means that we have to really retribute to our shareholders. We don't have another plan. Of course, we can always come up with a plan with additional CapEx in order to have higher growth than the one that we have signaled to the market. And this is something that we will consider based on performance and based on oil prices, yes. But I will say that decision will be 2025 onward. So that is the way that we are thinking and basically what we are doing. So in terms of CapEx, you have to think that 2025 onward, we will have enough cash to think on what as we have to do from now to 2023, 2024, infrastructure, buybacks and continue the equity of growth story that we have today.
Regis Cardoso: Very clear. And I would assume the majority of that activity will be in Bajada del Palo Oeste still and not necessarily in the others.
Miguel Galuccio: You need to start to think that Bajada del Palo Oeste, Aguada Federal on the west part of Bajada del Palo Oeste is one operation for us. So we will start to develop that and unify that operation. But yes, that is the main -- the core of our operation.
Regis Cardoso: Understood. Congratulations on the results so far.
Operator: From Rodrigo Nistor with Latin Securities.
Rodrigo Nistor: Congratulations on a strong quarter. I was wondering if you could comment on Argentina's grow pricing dynamics for the domestic market and also for exports if you recently see increase in discount to international benchmarks for Medanito. And if so, what's been driving it? And when do you expect it to normalize?
Miguel Galuccio: Rodrigo, thank you for the question and also for your report. Yes. We -- in terms of the local market, we see in Q4 something very similar to Q3. Q3, we have local prices between in the 64%, 65% range. I think you should expect that Q4 will be around those numbers. In terms of export, as you know, we have -- so first of all, we plan to have 4 export cargoes in Q4. As you know, we saw higher discounts in the last was September and October. And that was the impact as we all know of the lower demand that we have in the U.S. West Coast because some maintenance schedule in the cure refineries and the oversupply in the U.S. gold cost due to the holiday season. I think also that was coupled with some local things happening. One was the overlap of the Secretary of Energy, where we have a change in Argentina, and that we have a bit of delay on the word permit. And also, we have some maintenance and refineries ongoing in Argentina that somehow create a compound effect. So as you know, we saw discounts of $16 per barrel in September. And now we see that coming back to normal. So we see probably around 13%, 12% in October, and we see December normalizing at the level probably $5, $4 discount. Remember, we come from one in July and 0.6% in August. So we should continue going and going through a normal discount. So back to Q4, we see 4 cargoes first half in October, which is 13 last cargo in December discounts you have to take an average of the discount that we have there. And oil prices, [brand] prices, as we said -- I would consider in the range of $92 to $95. So we will have -- we believe that we will have a bit softening in the rent price in Q4 compared with Q3.
Operator: Our next question comes from Alejandro Demichelis with Nau Securities.
Alejandro Demichelis: Congratulations on the results. A couple of questions, actually one clarification, one question. The clarification is, Miguel, you said for next year, exact 15%, 20% growth on production. What CapEx should we then assume for that level of growth for next year, please? That's the first question.
Miguel Galuccio: Yes. So yes, that's correct. I think we see production growth in the 15%, 20% range. And the CapEx we are working right now on the CapEx number, we are exactly now doing the budget exercise. But I think you should consider that the CapEx will be in line with the CapEx that we spent this year and this year was around €500 million total. So you could consider €500 million or a bit higher.
Alejandro Demichelis: So the €500 million includes OldelVal and all the rest, yes?
Miguel Galuccio: No, that is normal CapEx.
Alejandro Demichelis: Okay. And then for OldelVal and all the infrastructure.
Miguel Galuccio: Yes. OldelVal, we need to see how it goes. But yes, if we have OldelVal, it's going to be a bit additional to that.
Alejandro Demichelis: Okay. That's great. And then the second question is...
Miguel Galuccio: One thing you need to consider that OldelVal way that this structure the deals and the weather structure the deal, we have some cash advisement, but it's not really CapEx, the way that it's set up the deal.
Alejandro Demichelis: Okay. That's great. And then the second question is more technical, if you want. So Part 15, you're drilling with 5 wells. Is that right?
Miguel Galuccio: That’s correct.
Alejandro Demichelis: So is that the way you think you're going to develop Bajada del Palo Oeste going forward?
Miguel Galuccio: No, necessary. We have -- we keep the flexibility to the pad between 4 and 6 wells. We are using, I will say, the technology process called Cube that if we won at some point of time, Alejandro, Juan or any of our guys can introduce to you to what we are doing. Cube is aimed to avoid any interference between wells. And therefore, depend of the [biography] that we have to be developed in a particular area where that pad is and how our engineers and [Indiscernible] look at the possible interference between wells is how we decide if we will do a part of 4 or we could do a part of 6. Of course, there's also the economic part of that and the delay of production in putting production in and our production target that play a role. But usually, the main, I will say, the main factor that is taking in consideration on the decision of the number of pad is a reserve management. It's managing the reservoir, the very way possible. So the answer is no. We will not develop with Part 5. But you can see that we can do but 4, 5 or 6 dependently of what our technical people see the best way to develop the reservoir.
Alejandro Demichelis: Okay. But then can we see like we are seeing in, say, the U.S. [spacing]? But if you reduce the well spacing , we start seeing much better economics and efficiencies in the field.
Miguel Galuccio: We are always looking and recalculating the models in terms of the sweet spot, in terms of productivity and also reserve development. So we are always looking at that we are always challenging ourselves with the line of well with the distance between the wells with the positions of the world, how many we do a casino, how many we do with [Indiscernible] this is an ongoing discussion. So telling you that we will change the distance between well today. I don't want to say. I mean we are okay with what we will have today. But it's not unthinkable that we changed one of those parameters in the future. If we -- our reservoir model set that is a better way to develop. And we've been changing. We're changing land, we will change in [struct] design, we're changing intensity of proppant that we put in the formation. So all that variables go together. So today, we are super comfortable with what we are doing, the work that we are doing it, but we are open to change all the time.
Operator: [Operator Instructions]. It comes from the line of Ezequiel Fernandez with Balanz.
Ezequiel Fernández: Hi. Good morning, everybody. This is Ezequiel Fernandez from Balanz. Thank you for the materials, very complete. As always, and congratulations on the Aguada Federal results. I have 3 questions. I would like to go one by one, if you do not mind. The first one is related to Ãguila Mora. I don't know if with the positive results in your new hub [Aguada Federal] and the different zones in Bajada, are you cutting maybe [Indiscernible] on the back burner? Or if you will continue to work on that next year?
Miguel Galuccio: So again, that is no at all. I mean, we are planning to do 2 wells in Ãguila Mora between the end of the year and beginning of next year. So nothing we go ahead with the plan of continue derisking that block.
Ezequiel Fernández: Okay. Great. I would like to go back, sorry for the assistance maybe to some of the topics that Walter, Regis, and Alejandro mentioned on OldelVal and the expansion of the coastal terminals. Securing that capacity or at least a portion of that capacity for Vista, you mentioned that you should not face significant equity investment upfront for that. So should we conclude that it should be mostly about signing long-term take-or-pay contracts for securing that capacity?
Miguel Galuccio: Yes, it's an advancement. It's not CapEx, but we have Pablo Vera [Technical Difficulty] the CFO online and seeing following that tender. I don't know, Pablo, if you want to add something to that?
Pablo Manuel Vera Pinto: Sure. In terms of financially what it means, this would be under the structure contemplated by OldelVal advanced payments. So they would not be recognized as CapEx, but there would be a cash outflow towards the end of this year and in the course of next year. That process is still open, and they're being -- we're having discussions with OldelVal and other producers to accommodate our needs with the capacity that OldelVal can offer. And obviously, we think there is more capacity to be offered than what they have tendered so far. Our preliminary assessment is that we should not have issues accommodating the production ramp-up that we have presented in the Investor Day presentation.
Ezequiel Fernández: Okay. That's great. My final question is related to the OldelVal expansion, it's a little bit more than 200,000 barrels per day. And that would mean 1/3 of the current nationwide production in Argentina. So could we expect the pipe expansion to be filled maybe in 3, 4 years, and maybe all those barrels go to the export market considering that there are no refinery expansions planned in Argentina? Or would that be too optimistic?
Miguel Galuccio: We model the production in Argentina. And of course, we have a view for that. The reality is, I think all the -- so first of all, what we saw in the bet was that basically everybody has probably greater ambitions to -- for their plan to grow in the next few years. And on OldelVal is a piece of that. As I mentioned before, we are looking to other options. OldelVal is an important one, and it will add a low capacity, but the reversal of the [Convida Vaca Muerta] to Chile, a potential Vaca Muerta South pipeline that there are discussions about that. I think you will see all those projects as we move along coming together. Are we a bit late today? Yes, I think we are a bit late as an industry in having the second pipeline of OldelVal. And another thing will happen is that OldelVal considered to have a pain that has capacity to the one that was offered. I mean all the discussions are today ongoing.
Operator: And I'm not showing any further questions in the queue, sir. I'll pass it back to management for any final remarks.
Miguel Galuccio: All right. Once again, I mean, thank you very much for your support for the questions for the report. I take the opportunity to thank the Vista team also for the hard work and for the understanding results that we have this quarter. And with that, we close the line. All of you, have a good day.
Operator: Thank you for participating in today's program. This concludes the Q&A and the presentation. You may now disconnect.